Operator: Good afternoon. My name is Vinesin, and I will be your conference actor today. At this time, I would like to welcome everyone to the Ligand Pharmaceuticals Third Quarter 2022 Earnings Conference Call. [Operator Instructions] I would now like to turn the conference over to Simon Latimer, Head of Investor Relations. Please go ahead.
Simon Latimer: Thank you. Welcome to Ligand's Third Quarter 2022 Financial Results and Business Update Conference Call. Speaking today for Ligand will be John Higgins, CEO; Matt Korenberg, President and COO; and Octavio Tavo Espinoza, CFO. We'll use non-GAAP financial measures, and some of our statements will be forward-looking, including those related to our financial condition, results of operations, financial guidance and the impact of the COVID-19 pandemic. Additional information concerning risk factors and other matters concerning Ligand can be found in our earnings press release and our periodic filings with the SEC. We undertake no obligation to revise or update any statements to reflect events or circumstances after the date of this conference call. A reconciliation between the non-GAAP financial measures we discuss and the closest GAAP financial measure can be found in our earnings release issued earlier today. I'd now like to turn the call over to John Higgins.
John Higgins: Simon, thank you. Good afternoon. Thank you for joining Ligand's Third Quarter 2022 Financial Results Conference Call. I'll open the call with some remarks about our recent major strategic and financial transaction. We closed the OmniAb spin out on November 1st, just one week ago today. In the parlance of radio, you are putting into the same station. This is Ligand Pharmaceuticals and our ticker symbol is still LGND. But things have changed. Compared with a week ago, Ligand is a streamlined company with a different stock price and a $1 billion valuation. We have about half the number of employees as before and a reconstituted management team and Board. However, our core business model is unchanged. We are profitable and cash flow positive, and our outlook is very promising. Our business is to provide drug research tools and our financial growth is primarily fueled by sharing in product revenue in the form of royalties on pharmaceutical products. Global sales of our major royalty-bearing assets are growing and we have an economic interest in a large portfolio of late-stage assets that are on the cusp of potential major data readouts or regulatory determinations. The potential and promise for what Ligand has to offer investors is as compelling as ever. As for OmniAb, as of last month, this was our wholly owned antibody drug discovery business unit. Now it is operating as a completely separate public company. I'm very proud of what we achieved at Ligand over the past 7 years to build the OmniAb business, and we are pleased to see the spinout completed. The spin-out successfully achieved the objectives that we have talked about for the past 12 months, and the company is very well positioned with its partners to be a major industry player for years to come. The spinout efficiently separated the R&D business into a fully functioning, well-capitalized company. The company post spend cash position is about $95 million with expectations for $35 million of additional capital from partner milestone payments due upon the anticipated launch of teclistamab in the coming months. Annual revenue is projected to grow based on its existing portfolio and recently approved royalty-backed programs. OmniAb has a major new strategic investor with Avista Healthcare, owning about 15% of the company. And importantly, OmniAb is reconfigured with the new Board of Directors and management team with deep domain expertise and a dedicated focus on driving the best in antibody drug discovery. A quick comment on an administrative manner. The spinout resulted in Ligand stock being split. All Ligand shareholders at the time of the split retained the exact same number of shares in Ligand, but Ligand investors, at the time of the spin out, also receive shares in the new company called OmniAb. Specifically, for every 1 share of Ligand, shareholders received about 4.9 shares of OmniAb. This might seem very basic, but it is worth pointing out to all shareholders, especially smaller shareholders, to look at your brokerage statement as you now have shares in a whole new company to go along with your Ligand shares. In this moment of transition, I want to express thanks to my former colleagues, in particular, Matt Foehr and Charles Berkman, for the extraordinary contributions they made to Ligand over the past decade and longer, helping build Ligand along the way into the fine company it is today. They are at the core of the new executive leadership team at OmniAb, and I wish them all continued success running that company. Of course, I also want to say it is a pleasure to be working with the new leadership team here at Ligand. Matt Corberg, who you all know, has stepped up to him serve as President and COO. Tavo Espinoza has been with us for over 6 years and has assumed the role of CFO, and Andrew Reardon has recently joined our team as our new Chief Legal Officer. I'm delighted to be working with this tremendous group of seasoned professionals and I know each of them shares my enthusiasm for what the future holds for Ligand. Now with this transition, we are eager to get out to meet with shareholders in person to update them on the newly reconfigured business. In addition to attending investor conferences over the next 2 weeks, we will be hosting an analyst and investor event in New York City in the middle of December. Currently, we are targeting December 13, and the specific information for that event will be announced within the next two weeks. We encourage investors to consider joining us in person or if that is not possible, for log in virtually. With that, I will now turn the call over to Tavo for a review of our financial performance. Tavo?
Octavio Espinoza: Thanks, John. I'm pleased to be speaking with all of you today in my new role as Ligand's CFO. Before I get into the financial review, I'll give a quick background into myself. As John mentioned, I've been with the company for about six years. I'm a certified public accountant licensed in California. I started my career with PricewaterhouseCoopers and have over 20 years of experience overseeing and leading finance and accounting functions for a number of companies, including six years with Intuit, the maker of TurboTax and QuickBooks and 7 years with Illumina, the genetic sequencing tools leader. I'm excited to be joining the executive team here at Ligand, and I look forward to continuing the company's long-standing commitment to financial discipline and transparency as most recently exemplified by Matt Korenberg. Today, I'll review our quarterly financial results and update our 2022 financial guidance. The third quarter of 2022 was a strong quarter financially with particularly impressive performance in the royalty revenue line. Total revenues for the quarter were $66.1 million, royalty revenue increased 27% to $19.8 million from $15.6 million a year ago. This growth was driven by strength in Amgen's Kyprolis, which once again posted record quarterly revenue. Teriparatide and Rylaze also contributed significantly to the growth of royalty revenue. During the quarter, we recorded $4.1 million in royalty revenue from teriparatide and $2.1 million from Rylaze, both exceeding our expectations. We expect the launch of additional competitors for branded teriparatide to come within the next six months, but it's hard to predict exactly when. That will impact revenue going forward. However, the competition has not yet materialized, and as a result, the product is performing better than we had anticipated. Total Captisol sales were $35.9 million for the quarter versus $35.1 million a year ago. Core Captisol sales were $3.6 million this quarter versus $5.4 million last year, with the difference due to the timing of customer orders. Captisol sales related to COVID-19 were $32.4 million during the quarter, compared to $29.7 million a year ago. Contract revenue in Q3 2022 was $10.3 million. This compares to last year's third quarter of $14.1 million. This difference in contract revenue is generally due to the timing of partner events and related milestone payments. GAAP net income for the quarter was $4.4 million or $0.02 per diluted share and this compares with net income of $13.7 million or $0.80 per diluted share in the prior year quarter. The lower GAAP net income is largely driven by additional OmniAb expenses as that business scaled up in preparation for the spinoff John just described. Also in the prior year quarter, there was a positive $3.8 million noncash valuation adjustment and other operating income related to eliminating the remaining Phoenix CVR liability. Adjusted diluted EPS for the third quarter of 2022 was $1.31 and this compares with $1.58 in the third quarter of 2021. Excluding COVID-related Captisol sales, our adjusted diluted EPS for Q3 2022 was $0.41 compared with $0.64 in Q3 2021. During the quarter, we repurchased $38.6 million in principal of our 2023 convertible notes at a 2.6 discount to par, and we have approximately $77 million in remaining convertible debt outstanding, which matures in May of 2023. When the bonds mature, we will repay them in cash. As of September 30, 2022, Ligand had cash, cash equivalents and short-term investments of $121.4 million. Turning now to guidance. Today, we are raising our 2022 revenue and earnings outlook from continuing operations. Given the spin-off of OmniAb, from here forward, we'll be providing guidance for Ligand from continuing operations, which excludes OmniAb revenue and expenses. We now forecast 2022 royalties to be in the range of $66 million to $69 million, up from our previous outlook of $61 million to $65 million. This increase is driven mostly by upside from teriparatide and Kyprolis. As I mentioned, Kyprolis is doing very well and is hitting all-time highs for quarterly revenue. Teriparatide is writing strong commercial trends because additional competition has not yet entered the market. We're now assuming the other competition will enter the market in early 2023. Should that be the case, we anticipate sales for teriparatide next year will be lower than 2022. We now expect Captisol material sales to be about $100 million, up from our previous outlook of $55 million to $60 million. We expect $15 million of core Captisol sales and the balance to be Captisol sales for COVID. We expect contract revenue to be in the range of $18 million to $20 million and this is the revenue line most impacted by the OmniAb spinoff. These new revenue components result in total revenue from continuing operations of $184 million to $189 million. For the continuing business, excluding COVID-related Captisol, we now expect revenue to be $99 million to $104 million, up from $97 million to $104 million previously, and adjusted diluted EPS to be $2.05 to $2.20, up from $1.80 to $2.05 previously. We estimate 2022 earnings from COVID-related Captisol to be about $2.25 per diluted share. Therefore, for consolidated reporting from continuing operations for the year, our updated guidance is for adjusted diluted EPS of $4.30 to $4.45. As a reminder, I'd like to direct listeners to our third quarter earnings press release issued earlier today and available on our website for a reconciliation of our adjusted financial results to the GAAP results I talked about today. I'll turn the call over to Matt to provide an update on the business.
Matthew Korenberg: Thanks, Tavo. I'll echo John's earlier comments and say that I'm also very excited to have the OmniAb spin-off complete, and I look forward to tracking our former colleagues, success as an independent public company. Today, I'll be providing some brief comments on a few of our key commercial and clinical programs. I'll begin on the commercial side with two programs that are driving a good portion of our 2022 royalty revenue. Kyprolis and EVOMELA have both been on the market for many years and both have significant remaining runway. We expect Kyprolis in particular, to drive growth on the royalty line for the next five years. Kyprolis is marketed by Amgen in the majority of the countries around the world and by Ono in Japan, and Beijing in China. This is a key drug for treating multiple myeloma that's on track to exceed $1.25 billion in sales in 2022 and generate about $30 million in royalty revenue for Ligand. In addition to Kyprolis and EVOMELA, teriparatide, which Tavo already commented on and Rylaze have been significant contributors to Ligand's top line this year. Jazz markets Rylaze for the treatment of acute lymphoblastic leukemia or lymphoblastic lymphoma. Rylaze is a recombinant Erwinia asparaginase used as a component of a multi-agent chemotherapeutic regimen for the treatment of children and adults with ALL or LBL who are hypersensitive to asparaginase products derived from E.coli. After launching Rylaze in mid-2021, Jazz quickly ramped up commercialization. In Q2 of 2022, Rylaze reached $73 million in sales. Jazz reports Q3 later this week, and we look forward to their commercial report as well as an update on their efforts to expand the label for Rylaze in the U.S. and seek regulatory approvals in other markets. Turning now to some key pipeline programs. I'd like to touch on sparsentan and ensifentrine and lasofoxafine. Sparsentan is a key pipeline program for Ligand. We will earn a 9% royalty on sales should the drug be approved and commercialized, and this should be a significant driver of growth for our royalties. Javier recently announced that the previously assigned PDUFA target action date for its NDA under Subpart H for accelerated approval of sparsentan for the treatment of IgA nephropathy of November 17, 2022, was extended by three months and the new PDUFA date is now February 17, 2023. Travere subsequently announced that the EMA had accepted for review the conditional marketing authorization for sparsentan for IgA nephropathy in Europe with a review decision expected in the second half of 2023. Corona recently announced positive top line results from its Phase III ENHANCE II trial evaluating ensifentrine for treatment of COPD. The trial successfully met its primary and secondary endpoints evaluating lung function and significantly reduce the rate and risk of COPD exacerbations. Ensifentrine was well tolerated with safety results similar to placebo. Bronto [Ph] subsequently announced additional analysis, demonstrating ensifentrine reduced exacerbation rates across all subgroups in the trial. Ligand earns a low single-digit royalty on sales should the drug be approved and commercialized. COPD is a multibillion-dollar category, and ensifentrine is expected to be the first new entrant in many years. Sermonix announced results of its Elan 1 Phase II study of lasofoxifene versus fulvestrant in postmenopausal women with locally advanced or metastatic estrogen receptor positive HER2-negative breast cancer and an ESR1 mutation. Median progression-free survival was 6.04 months for lasofoxifene versus 4.04 months for fluvestrant. Objective response rate was 13.2% for laserboxafene versus 2.9% for fluvestrant. With 1 complete response and 4 partial responses in the lasofoxifene arm, and no complete responses and only 1 partial response in the fulvestrant arm. While the study was not powered for statistical significance, all endpoints numerically favored laserboxafene. Ligand's entitled to a tiered royalty of 6% to 10% on sales of lasofoxifene. Finally, at our upcoming Analyst Day in December, among other updates, I look forward to providing investors with a deep dive on Ligand's business profile following the separation as well as our strategic agenda moving forward. And with that, I'll turn the call back over to the operator for additional questions. Operator?
Operator: [Operator Instructions] And your first question is from the line of Joe Pantginis with HC Wainwright. Please go ahead.
Joseph Pantginis: Hey guys good afternoon. Thanks for taking the question. And good luck on the “new path” even though you're continuing as usual. So best of luck. So I guess I just wanted to check in with regard to the bonds first. So if I heard you correctly, it was about $77 million left and you said you have the intention to pay for cash -- paid for it with cash. So I just wanted to confirm that you still have the option to pay with shares as well because while you have increasing cash flow, from royalties and everything else, curious to see how you view it impacting your overall business strategy and your current shopping list. Thanks a lot.
John Higgins: Hey Joe, good to hear from you. The bonds, when we originally put them in place, we pledged to repay the principal in cash at all times. So if the bonds were in the money, then the part that was in the money would be shares, but the principal would still have been in cash. We could always, in theory, negotiate to change that, but the plan right now is to repay the principal in cash.
Joseph Pantginis: And so the impact on the cash balance with regard to like the overall business strategy of the company, which I guess was part of my next question as the segue to say, the biotech markets continue to be under pressure, even though there's some rebound. So as you're looking at potential opportunities in addition to what you are generating through Pelican, etcetera, how would that impact any decisions you're making over the next, say, 6 to 12 months for cash resources?
John Higgins: Yes. Yes, it makes sense. Of course, yes, you alluded to our strategic agenda going forward, which we'll dive into a lot more at the Analyst Day in December. But you alluded to it as well in your question that said, it's a lot more of what we've been doing historically. So our M&A and strategic agenda has ranged from $10 million to $20 million acquisitions on the low end, up to several hundred million with Phoenix and some of the other acquisitions we've made over time. We'll continue to look for acquisitions across that spectrum. And I think it's fair to say that at the time of the bonds being repaid, we'll have at least $50 million of cash on the balance sheet, but we'll have a clean balance sheet from a debt perspective at that standpoint and the ability to use equity. So between equity, debt or the cash on the balance sheet, I think we'd still be able to execute across that whole size spectrum with obviously, the near-term focus being a little bit more on obtainable things until we finance one way or the other, either equity or debt if we were going to do something larger.
Joseph Pantginis: Got it. Thanks very good to know. Thanks a lot guys and good luck.
Operator: Your next question is from the line of Larry Solow with CJS Securities. Please go ahead.
Unidentified Analyst: It's Pete [ph] Lucas for Larry. Just wondering, I know you touched on it in the prepared remarks a little. But if you could give us a little more color on the progress at Pelican Rylaze. I think you mentioned expanding the label in the U.S. and then moving into other countries. I think it reached about $250 million run rate in the U.S. Do you think that could be $500 million on a global scale eventually? And with the VAXNEUVANCE from Merck, can this compete head-to-head with Pfizer and still talk of that being a $1 billion annual vaccine?
John Higgins: Thanks, Pete. Good questions, and thanks for the questions. First, on Rylaze, our partner, Jazz, obviously, markets Riley, and we do not have any public information I should say, we do not have any non-public information that Jazz doesn't disclose otherwise. So we're working off the same third-party research analyst estimates that you're referring to and that we see out there. The current third-party research analyst estimates showed just over $270 million of Riley sales for this year. Obviously, last quarter, Q2 was $73 million, like I mentioned in my prepared remarks, and we'll see where the quarter hits this year -- this quarter in Q3. But it seems like they're on track to do close to that $270 million number, but we'll see. You alluded to the pre predecessor product to Rylaze, which on a worldwide basis, on a global basis, was doing about $200 million. In some years, it is a touch over $200 million in the most recent year before the switch was closer to, I think, about $175 million. And so Jazz has already exceeded that with just their current U.S. approval. So really nice progress with the product. They are continuing to try and broaden the label specifically in the U.S. to different dosing regimens and other patient populations, and then they're also pursuing other geographies. I haven't seen any third-party research estimates that get up towards that $500 million number. But it's really hard to tell just based on where the product has been so far and whether -- what they've done with the label and marketing so far. But obviously, we're super happy with their success so far. On Merck's VAXNEUVANCE, I think as everyone knows, this is a pneumococcal vaccine and a participant in that market. Broadly defined globally, the pneumococcal vaccine market is around $8 billion or even in excess of $8 billion. Pfizer's Prevnar, I think globally last year, 2021 was a touch over $5 billion, $5.3 billion or so. And Merck's VAXNEUVANCE is a new entrant into that market earlier this year in terms of launch. About 75% of the global market is a pediatric market. And Merck was the first to get a pediatric approval for what we'll call the next generation of these pneumococcal vaccines. And they are just launching in that pediatric market now. So we're excited to see how they progress in that indication or population as well. Like with Jazz and Rylaze, we have no non-public information from Merck on what sales are doing or where their expectations are. But again, looking at third-party research analysts there, there are still a significant number of research analysts that are looking to sales in excess of $1 billion for VAXNEUVANCE, and we look forward to their progress towards that goal.
Unidentified Analyst: Very helpful. And just sticking with Pelican, anything that we should know or that you can comment on with regard to the pipeline of earlier-stage compounds at Pelican and how has that progressed over the last couple of years?
John Higgins: Yes. Good question. We obviously acquired the business in late 2020. And so we're coming up on -- or just past the 2-year anniversary. And the business has been performing fantastic. Obviously, the -- if you bifurcate the business into the 4, 5 late-stage programs that we're just about on the market or about to be approved -- those 4 or 5 products are doing fantastic. That's obviously teriparatide, Rylaze VAXNEUVANCE and then Serum Institute of India's Pneumosil. All four of those products plus a second from the Serum Institute of India are making great progress or a second indication on Pneumosil are making great progress and help driving our revenue. The other half of the business was the partner work in the earlier stage pipeline. The team has done several new license deals this year and making good progress on that. A lot of those programs are still earlier stage both the ones that existed at the time of the transaction as well as the ones that they've partnered since then. And so we're looking forward to the longer-term addition and growth from those, but a little bit earlier-stage group of programs there.
Unidentified Analyst: Very helpful, thanks. I’ll jump back in the queue.
John Higgins: Thanks, Pete.
Operator: Your next question is from the line of Matt Hewitt with Craig-Hallum Capital Group. Please go ahead.
Matthew Hewitt: Good afternoon. Thank you for taking the questions and for the detailed update. Maybe first one, I think, John, you mentioned that headcount today is roughly half post the spin-off. Have all of the key roles with RemainCo, with Ligand, have those been filled? And where do you see the headcount, I guess, exiting the year? Or do you kind of feel like you've got the team in place that you need?
John Higgins: Yes. All the positions have been filled at -- completely filled out the executive and senior management team, the business operationally was about half and half. We had about 150 employees total and about half while OmniAb was growing half with OmniAb and the other balance remains at Ligand. In a month or so at our Analyst Day, we'll discuss more about the headcount by business unit. We have a couple of technology platforms and the like. But this is a lean company, leaner, certainly in cost and structure than we were a week ago. And that is by design. We can very efficiently drive early drug research, the licensing model, it's a very economical model from a headcount perspective to drive new deals. And that is our focus to keep costs low, but still drive the revenues and earnings and cash flows.
Matthew Hewitt: That's helpful. Thank you. And then more just a balance sheet item. So cash today, if I hold my math right, roughly $105 million because you've got the piece that went with OmniAb. Is that the number we should kind of be using as our base.
Octavio Espinoza: Yes. No. The $15 million commitment was net of expenses. So it was actually closer to $2 million. So the cash figures just a bit higher than what you just out there.
Matthew Hewitt: Got it. That’s great. Thank you.
Operator: Your next question is from the line of Balaji Prasad with Barclays. Please go ahead.
Unidentified Analyst: This is Vishal [ph] for Balaji. Thanks for taking our questions. Firstly, could you add any color on which business segment that will drive your top line revenue growth positive spin off and additionally, could you also provide some insights on the trajectory of your COVID-related capital revenue growth post 2023? Thank you very much.
John Higgins: Sure. Yes. The business -- the revenue, there are three components of revenue. The main component is royalty based. The second component relates to Captisol and the third is related to contract revenue, payments milestones and license fees and so on. So generally, this year, we described it about 60% is royalty, 20% Captisol, the other 20% contract. Obviously, now with our revenue performance above expectation, those proportions are evolving a bit. But it remains true that the majority of our revenue is royalty-based. It's 100% gross margin. This is revenue sharing tied with pharmaceutical products. As far as the royalty segment, we have a couple of lead assets, Kyprolis is our largest royalty generator today followed by EVOMELA coming along as teriparatide and Rylaze. But it's a diverse portfolio. We'll discuss more about the growth outlook at Analyst Day next month, but that is really the basis of our business, discovering drugs and then sharing in revenue with our partner’s royalties. The question about our partnership with Gilead for our COVID drug. Just a brief remark. Obviously, when the pandemic came, Gilead, they had a promising therapeutic. It requires our agent to sell utilize the antiviral. And the massive quantities that they required generated hundreds of millions of additional revenue for Ligand. This year, we thought the demand would wane -- would really fall off with the waning pandemic, we know we do $20 million, and now we're looking at doing nearly $85 million. So it continues to be a significant driver of cash flow as we service that product. But we really are expecting that essentially to go to 0 in the coming quarters as demand for that product winds down.
Unidentified Analyst: Thank you. That’s very helpful.
Operator: Your next question is from the line of Scott Henry with ROTH Capital. Please go ahead.
Scott Henry: Thank you. Good afternoon. And first, I want to apologize. I have to join late today. So you may have touched on some of my questions and hopefully not, but they were important to me, so I did want to ask them. I guess, first, at the Investor Day on December 13, do you expect to give 2023 guidance? And similarly, I imagine if you want kind of an apples-to-apples comparison, everyone on the same page. It sounds like the presentation you'll probably give would be obviously ex OmniAb and probably ex-COVID as well. The question is, is that a fair assessment? And as well, do we have the historicals for all the quarters going back at this point or will some of those be filed in the near future? Thank you.
Octavio Espinoza: Yes. So Scott, this is Tavo. In terms of those historicals, you can get some of that information in the recently filed 8-K. Although I believe that's on a yearly basis, happy to provide that information. And for sure, we can prepare that for our anticipated Investor Analyst Day coming up.
John Higgins: Yes. We hope investors turn out in person ideally. The world is coming back. We've got significant in-person meetings coming up. Of course, we're just in Milwaukee in Chicago a few weeks ago. But virtually at the meeting, we will frame our 2023 financial outlook. We need a little more information in terms of product approvals to get clarity on some new revenue that we expect to start in 2023. So in fairness, I think we're going to have to caveat some of our guidance or bracket it around anticipated new revenue, but we will definitely get into the components of revenue, the expense structure and then ultimately, what our outlook is on a base case for earnings and cash flow. We are at a point now where the business, while investors know Ligand, the P&L has changed dramatically. It's simplified and it's going to be much more focused on growth metrics, top and bottom line and margin performance. So that is something that investors can expect. And I'm certain analysts will be updating their models and so on around that earnings event.
Scott Henry: Okay. Great. Thank you for that color. And the second question, just sort of a big picture question. The OABI, LGND split didn't turn out the way we thought it would being a 50-50 value proposition for each, it is obviously higher for Ligand, lower for OmniAb, could just be noise. I mean, obviously, the spin out, there's a lot of noise there. But Ligand on the other hand, was valued at a higher level than one would have expected. I'm just curious your thoughts on the way the market valued. If perhaps just speaking of the Ligand side of it, does it change how you think about strategy at all going forward because of the higher value? Or do you just kind of view it all as a lot of noise, which is what probably is, I would guess. Thank you.
John Higgins: Yes. So we certainly have insights and thoughts about the business, the substance of value at the business is how it trades and so on, we'll leave that ultimately to investors. But generally, Ligand, what Ligand has been the last 10, 15 years is -- I think it's a disciplined focused business that has delivered superior financial results. And the last few years, because of COVID, because of the outsized revenue that we generated selling to Gilead because of OmniAb, some expanded cost structure around that, our P&L became much more complicated. The business was always high quality, but the reality is the P&L and the financial reporting became more complicated. Investors who know us and have enjoyed our performance. I think realized Ligand is actually stepping back to a much simplified business that has a very, very strong candicard [ph] that we are trading stronger than the street expected or maybe some investors does not surprise me at all. As for OmniAb, my perspective is our vision for what we intended to execute came off beautifully. It was well thought out. It was two years of planning. The market window was difficult. We'd hope to be done six to nine months sooner. But the realities of the market, like most offerings, it was a longer journey. Having said that, our objectives for a well-capitalized company focused management and Board, a new equity, strategic equity investors, spinning them off in strength in terms of business news, news flow and financial momentum. All of those objectives were squarely met. Now we're in a trading dynamic now where we know some of our existing Ligand shareholders, they can't own a microcap stock. It's not a judgment of the value. It's just the reality. It's a smaller valuation or they can't offer -- they can't own a lost corporation. At least for the short term, this is expected to be a biotech kind of cash burn company. Still well capitalized. But fundamentally, those are trading dynamics; highly volatile, high volume share trades trading days. But the reality is the underlying quality of that business, the partners the positive news events, the recent approvals, the potential for very substantial future royalty revenue completely unchanged. And as the spinout unfolds, it's well established, whether it's General Electric or General Motors or small-cap companies, spin-outs often take one to six months to season for the share base to be reset or the shareholders to rebase. But we believe the value is there, the quality of the team, the capital, the balance sheet, the partner momentum and we are very bullish on OmniAb. We truly are in -- we've seen some unusual trading events with Viking, a spin-out we did six years ago. Post IPO, the stock was weak. But investors who know that company, boy, a year or two after the spend of stock rallied and did exceptionally well. So there are case precedents even at Ligand for some unusual trading, but it's more trading dynamics, it's not tied to fundamentals.
Scott Henry: Okay, great I appreciate the color on both topics. Thank you for taking the questions.
John Higgins: Thanks, Scott.
Operator: This concludes the question-and-answer session. I will now turn the call back to Ligand Pharmaceuticals CEO, John Higgins, for closing remarks.
John Higgins: Thank you. I appreciate the turn out today. Again, it's a momentous period for Ligand. It's been a busy period, for sure. We're going to be at the Credit Suisse conference tomorrow in person, and we look forward to that. We'll be at Stifel a week later. We have a number of non-deal road shows and of course, we'll be hosting the analyst and investor event in December. So we look forward to engaging with you. We will finish 2022 and welcome 2023. Thank you, everyone, for turning out for our Q3 earnings call.
Operator: Ladies and gentlemen, this does include the Ligand Pharmaceuticals Third Quarter 2022 Earnings Conference Call. Thank you for your participation. You may now disconnect.